Operator: Greetings and welcome to Sinclair Broadcast Group Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Lucy Rutishauser. Thank you. You may begin.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you, operator. Good morning, everyone. Participating on the call with me today are David Smith, Executive Chairman; Chris Ripley, President and CEO; David Amy, Vice Chairman; Steve Marks, Executive Vice President and Chief Operating Officer of our Television Group; Rob Weisbord, Senior Vice President and Chief Revenue Officer; and Steve Pruett, Executive Vice President and Chief TV Development Officer. Before we begin, Felicia McIntyre (1:01) will make our forward-looking statement disclaimer.
Unidentified Participant: Certain matters discussed on this call may include forward-looking statements regarding, among other things, future operating results. Such statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors. Such factors have been set forth in the company's most recent reports as filed with the SEC and included in our fourth quarter earnings release. The company undertakes no obligation to update these forward-looking statements. The company uses its website as a key source of company information, which can be accessed at www.sbgi.net. In accordance with Regulation FD, this call is being made available to the public. A webcast replay will be available on our website later today and will remain available until our next quarterly earnings release. Included on the call will be a discussion of non-GAAP financial measures, specifically television broadcast cash flow, EBITDA, free cash flow and the leverage. These metrics are not meant to replace GAAP measurements, but are provided as supplemental detail to assist the public in their analysis and valuation of our company. A reconciliation of the non-GAAP financial measures to the GAAP measures in our financial statements is provided on our website under Investors/non-GAAP measures. Chris Ripley will now take you through our operating highlights.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Before we go through the results, let me review some highlights. Many of you are probably aware that the FCC voted in favor of two very important items related to the long-term competitiveness of broadcast industry. In November, it approved the use of ATSC 3.0, the next generation broadcast standard. This technology is critical to deploying nationwide and targeted television and other data services that are both mobile and IT. The FCC also approved local television ownership deregulation as it relates to how many stations can be commonly owned in an individual market. Such actions were long overdue and a step in the right direction to level the media playing field. And in a landmark action, Congress and the President approved sweeping tax reform reducing the corporate federal tax income rate from 35% to 21%. We expect the decline to have an immediate positive impact on our free cash flow generation and later in the year favorable effect on ad spending by small and medium sized businesses in our local markets. We are proud to state that we shared a portion of our upcoming tax savings with our employees by paying $1,000 bonuses to almost 9,000 employees. Turning to our network partners. We have been very active on this front. Since our last earnings call, we've entered into multi-year agreements with NBC and ABC, in both cases, extending the affiliation agreements and getting consent for the tribune affiliation transfers. We continue to have productive conversations with FOX and expect an announcement shortly. Meanwhile, the CW Network will be expanding its primetime schedule to a sixth night come this fall, a move which we expect will have a positive audience and revenue impact for us. On the distribution side, we renewed our retransmission agreement with Verizon and did a ground-breaking form of retransmission agreement with the National Cable Television Cooperative for their members to opt in. Given that we deal with about 600 MVPDs and NCTC has over 850 independent members, doing a single deal allowed for administrative efficiencies that were important to both sides. Last year, we entered into carriage agreements with multiple virtual MVPDs for our affiliates, as well as Tennis and Comet and expect more agreements this year. On the content front, we renewed our agreement with Nielsen until the end of 2019 and appreciate they are negotiating with us for a mutually-beneficial package with expanded services. Likewise, in another first, we finalized our commercial deal with Sorenson Media for addressable advertising. As discussed last year, we implemented Sorenson's Spark Analytics tool for second-by-second audience measurement. This year we entered into an agreement that allows us to both sell targeted ads via smart TVs. Because of their addressable nature, such spots typically sell for two times to three times linear CPMs. Turning to ATSC 3.0; we're thrilled to welcome John Hane as President of Spectrum Co., the spectrum consortium founded by us, Nexstar and Univision. We believe Spectrum Co. will be the catalyst to drive adoption of next-gen TV and create an interconnected nationwide data delivery platform. Speaking of deployment, the consortium, American Tower and other broadcasters are busy with the initial deployment of next-gen models and a single frequency network in Dallas, launching us as a leader and taking advantage of these new ATSC 3.0 capabilities. We are also continuing to take the long view on our next-gen enabled opportunities by recently signing an MOU with the Korean company SK Telecom to develop systems that converge on our next-gen broadcast capabilities with Telecom's latest technologies. As part of our community outreach, we recently opened the 2018 application process for our broadcast diversity scholarship for students studying in the broadcast-related field. Finally, I want to thank our employees for their continuous commitment to helping us achieve our vision of connecting people with content everywhere. Now Lucy will take you through the fourth quarter results.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you, Chris. First off, I am pleased to report that we exceeded our fourth quarter guidance in all key financial metrics. Turning to the financial details, media revenues for the fourth quarter were $685 million, a decrease of 5.7% versus fourth quarter 2016, driven by the absence of political revenues in a non-election year and offset in part by acquisition-related revenue. On a pro-forma basis, fourth quarter 2017 media revenues are $685 million, 9% lower than pro forma fourth-quarter 2016, primarily due to the absence of political and offset in part by revenue growth in retrans and core advertising. As I mentioned, we exceeded our prior guidance. Political revenues in the fourth quarter were $16 million versus $113 million in the fourth quarter of last year, which was a precedential election year. Media operating expenses in the fourth quarter, defined as media production and media SG&A expenses, were $416 million, up 9% from fourth quarter last year and up 7% on a pro forma basis. In both cases, primarily the result of higher reverse retrans fees and startup costs related to our revenue-generating initiatives. This was offset in part by a decline in normal operating expenses. In addition, our reported media expenses were $3 million favorable to our prior-quarter guidance. Corporate overhead in the quarter was $42 million and includes $19 million in transaction, legal, the tax reform bonus payment and other one-time costs. Corporate overhead was higher than our prior guidance due to higher group insurance and higher compensation costs. Research and development costs were $5 million in the quarter. EBITDA in the fourth quarter adjusted, so excluding the $23 million of one-time items, was $233 million and approximately $12 million above our EBITDA guide. We had a $225 million gain relating to the vacating the spectrum in Harrisburg and Baltimore, and we'll have another $83 million gain in the first quarter of 2018 relating to Milwaukee spectrum sale. Net interest expense for the fourth quarter was $51 million and our weighted average cost of debt for the company is approximately 5%. The fourth quarter income tax provisions includes a non-recurring benefit of $272 million, primarily related to the re-measurement of our deferred tax assets and liabilities as a result of the reduction of the corporate federal income tax rate from 35% to 21%. Diluted earnings per share on 103 million weighted average common shares was $4.32 in the quarter, or $0.33 per share excluding the tax reform re-measurement benefit and the gain on spectrum sales. We generated $136 million of free cash flow in the quarter after one time transaction and other expenses, again exceeding our prior guidance by approximately $16 million. Our adjusted EBITDA to free cash flow conversion ratio remains an impressive 58%. For 2017-2018, pro forma free cash flow, pre-Tribune, we are tightening the range, lowering the high end but raising the low end estimate with a midpoint that is slightly better than prior guidance. Our new 2017-2018 combined pro forma free cash flow pre-Tribune is estimated at $1 billion to $1.030 billion or $9.80 to $10.10 per share. We are also introducing 2018-2019 combined free cash flow estimates pre-Tribune of $1.060 billion to $1.150 million or $10.29 to $11.16 of free cash flow per share, that is a roughly 5% to 10% per share increase over the 2017-2018 combined number. We are also reconfirming the estimated $650 million plus of 2017-2018 Tribune EBITDA before divestitures and before the TV, food network distribution and reconfirming the $266 million of year one synergies. We're also reconfirming our post-Tribune pro forma free cash flow guidance for 2017-2018 of $1.7 billion to $1.77 billion, assuming a $122 million shares and assuming no divestitures. Before going through the balance sheet and cash flow highlights, there are a couple of accounting rule changes that I want to walk you through that will impact your 2018 model. First, pursuant to the revenue recognition rules, barter revenue and barter expense will no longer be reflected in our financials. As a result, trade revenue, which was $23 million in 2017, and estimated at $16 million in 2018, will be reflected in media revenues and is already included in the guidance. As it pertains to the repack, the cash outlay for the equipment will run through capital expenditures on the cash flow statement. And when we receive the reimbursement from the government, which we expect to be on about 90 day to 180 day lag, the reimbursement will be reflected as a gain on the income statement. For calculation of EBITDA and free cash flow purposes, we will exclude both the repack CapEx outlay and the reimbursement gain. Turning to the balance sheet and cash flow highlights; capital expenditures in the fourth quarter were $26 million, including $2 million for the repack. For 2018, we expect total CapEx to be $179 million to $189 million, which includes multiple building projects, ATSC 3.0 upgrades and $69 million for the repack. Excluding the repack, CapEx is excepted to be $110 million to $120 million. Cash programming payments during the fourth quarter were $27 million. For 2018, we are estimating cash programming payments to be $111 million, flat to 2017. Net cash taxes paid in the fourth quarter were $21 million and for 2018 we're estimating cash taxes to be approximately $46 million and the effective tax rate to be 10%. This reflects the lower statutory federal income tax rate. At December 31, total debt was $4.49 billion, including $27 million of non-guaranteed and VIE debt. Cash on hand at December 31 was $681 million, plus $311 million of spectrum auction proceeds in qualifying intermediary accounts. In January, $85 million of this restricted cash was released to us. In addition, we had $484 million available on our revolver, bringing total liquidity to almost $1.5 billion. Total net leverage through the holding company at quarter end was 3.4 times on a trailing eight-quarter basis, excluding the VIE and non-guaranteed debt and net of cash. This is the below the low end of our target net leverage. The first lien indebtedness ratio on a trailing eight quarters was 1.3 times on a covenant of 4.25 times. By the end of 2018 and before Tribune, we estimate our two-year average holding company net leverage to be an impressive and historically low 3.1 times to 3.2 times. Pro forma for the Tribune acquisition and before divestitures, we expect total net leverage to close, be at closing in the high 4 times and de-lever quickly to the low 4 times within the first 12 months. During the quarter, we repaid $16 million of scheduled debt amortization and distributed $18 million in dividends. In December, we raised $3.725 billion of committed Term B loans in anticipation of closing the Tribune acquisition. We now anticipate the transaction will close in the second quarter of 2018, subject to customary closing conditions, including approval by the FCC and an anti-trust clearance at the Department of Justice. In connection with the committed financing, we began paying ticking fees in mid-January, which totaled approximately $7 million of interest expense in the first quarter with another $10 million in the guidance assumed in second quarter closing. Now, Steve Marks will now take you through our operating performance.
Steven M. Marks - Sinclair Broadcast Group, Inc.: Thank you, Lucy, and good morning, everybody. In the fourth quarter, we beat our media revenue expectations and group core advertising revenues over 4% on a pro forma basis for the year. Core advertising grew slightly. Political revenues in the fourth quarter were $16 million versus $130 million in the fourth quarter of 2016, a result which is to be expected in a non-election year. We are very optimistic for the 2018 political season and expect our political revenues to be $140 million to $150 million for the year, adjusting for a highly contested governors' race, which took place in Arkansas in 2014 that will not repeat this year. Our guidance is for political to increase low to mid-single-digits over 2014's pro forma political spend. Excluding political revenues, we grew share in 2017, a testament to the many initiatives that we are implementing to drive revenues. Our digital business continues to outperform, growing at 64% in the fourth quarter as compared to 47% for the entire year. Turning to our 2018 outlook, which does not include Tribune. For first quarter, we're expecting media revenues to be approximately $638 million to $644 million, up mid-single digits as compared to first quarter 2017. This assumes $8 million of political revenues versus $2 million last year. On a pro forma basis, first quarter would be approximately 2% higher than Q1 of 2017 on higher retrans and political revenues. Pro forma core advertising revenues in first quarter excluding political are expected to be down mid-single digit percent versus the same period last year. This is primarily due to the Super Bowl and Olympics, both of which aired on NBC affiliates, which is our smallest affiliate group. In addition, it's typical for advertisers not to spend as much during the Olympics on non-NBC stations, knowing that the audience is watching the Olympics and that the other networks pause their primetime original schedules, we expect to see positive growth in core in second quarter. On the expense side, we are forecasting media expenses in the first quarter to be approximately $437 million versus $383 million in the first quarter of 2017 with the majority of the increase coming from reverse retrans acquisitions and revenue-generating initiatives. For the year, media expenses are forecasted to be $1.813 billion to $1.817 billion versus 2016 pro forma media expenses of $1.621 billion, a 13% increase. The increase is due primarily to higher reverse retrans on a large number of network agreements that renewed at the end of 2017, higher compensation expense, revenue generating initiatives, and higher sales commissions on the incremental political ad revenue. EBITDA in the first quarter adjusted for $5 million in transaction costs is expected to be approximately $151 million to $156 million versus as-reported first quarter 2017 EBITDA of $184 million, and versus pro forma first quarter 2017 EBITDA of $196 million. Free cash flow in the first quarter adjusted for transactions and other one-time costs is expected to be approximately $72 million to $77 million. As Lucy stated, our 2017-2018 pro forma combined free cash flow is estimated at $1 billion to $1.030 billion. And with that, I would like to open it up to questions.
Operator: Thank you. Our first question is from Aaron Watts with Deutsche Bank. Please proceed.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Hi, everyone. Thanks for all the detail. Try to get it all down. Not to be predictable, but wanted to ask a question about auto. How that looked in fourth quarter? How it looks in first quarter and maybe even a little in second quarter, recognizing it might be a little noisy with the factors you mentioned like Olympics?
Steven M. Marks - Sinclair Broadcast Group, Inc.: Yes, I want to get into that. It's good question, Aaron. First of all in fourth quarter, we were flat, which I believe is a good performance in fourth quarter and we were positive for the year in 2017. In first quarter, what everybody should realize is our exposure or lack thereof of NBC affiliates – NBC affiliates only represent 12% of our revenues. So we're up against not only the Olympics, but last year FOX had the Super Bowl and our exposure on the FOX affiliates is enormous. So going into the first quarter we knew that we were up against it. With that said, auto in first quarter will be down, but as we speak today with quite a bit money already booked in second quarter, there is an aggressive positive pace so far for the automotive category on our station list. So we had a very good 2017. We were flat in fourth quarter and we see light at the end of the tunnel, in second quarter, we believe this bounces back, and was negative primarily to our lack of exposure on NBC affiliates.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay. That's helpful. And I recognize it's a little early. But I think something new this year is the World Cup coming into the picture on broadcast. Is that something given your FOX exposure that can actually sort of reverse some of this effect from not having the Super Bowl?
Steven M. Marks - Sinclair Broadcast Group, Inc.: Well, unfortunately I think the U.S. is not going to be participating in that is my understanding and that will hurt the ratings in my belief. But whenever you have a special event like that, we should be able to make the cash register, ring a little bit more than normal.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay. Fair enough and then just one last one for me. I think I heard you say at the beginning of the call that you're making progress on your affiliation agreements with FOX. Anything you can say in terms of Tribune's affiliations with FOX and whether those could come in conjunction with your renewal? Thank you.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Aaron, it is an active negotiation, so we – our policy not to comment on specifics around an active negotiation, but you can assume that everything's on the table.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay, great. Thanks, guys.
Operator: Our next question is from John Janedis with Jefferies. Please proceed.
John Janedis - Jefferies LLC: Hi. Thanks. I've got a couple as well. First just look, I think as you know, there seems to be a lingering concern about the relationship between the affiliates and the networks, so with the ABC and NBC deals over the past few weeks. Can you talk about the visibility or confidence you have around your net retrans over the next couple of years and with the success of virtual MVPDs, are you seeing any change in trend in terms of subs, that's worth noting?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Great question, John. We really did a significant amount of work in this area over the last several months with ABC and NBC deals that you noted, those dealt with affiliates that were coming up at the end of the year, but also renewed affiliates that were coming up several years out and they pushed out a significant amount of our subs. I think, currently we're sitting at about 65% of our subs are in agreement pack 2020. So, we feel really good about our visibility and our network relationships, which are now more long-term than they've ever been. And so, undoubtedly, this year is a bit of a tougher year for us in terms of how many network affiliations are rolling over versus how many MVPD deals we have. And – as you're seeing a bit of that flow through in the first quarter here in terms of timing, but we have more visibility now than I think we've ever had into the future.
John Janedis - Jefferies LLC: Okay. Thanks. So, maybe separately. There was, I guess what I'd call, a somewhat unique deal for digital rights for a local soccer team last month in Salt Lake City. And with the headlines around national sports rights, I was hoping you could speak to the potential to buy local rights for what I'd call, maybe second tier sports. Is that something that you view as either an opportunity or a threat given viewing trends? And how would those rights be monetized given what would initially seem to be a limited audience?
Steven M. Marks - Sinclair Broadcast Group, Inc.: That's a good question. We do have franchises, as you mentioned in terms of soccer. And we also have been doing high school sports for many, many years. And it's a very lucrative programming event for us. So, when you talk about secondary sports, and as it pertains to technology going forward, we believe local contents going forward is of great concern and we've already been doing local content in terms of high school sports, both basketball and football. And I also want to make mention, this is great programming for MyNets, which we have a lot of. And if you research our performance when we air these events, local high school events, many times our ratings on the MyNet beat the four major networks in primetime. We run these events in primetime, it's a programming event meaning high school sports that we've been doing literally for almost 10 years to building a very nice platform and it speaks well for the future in terms of local second tier sports. I would focus more on the high school than I would on the soccer, we've already been in that business for quite some time and we're doing very, very well with it.
John Janedis - Jefferies LLC: All right. Thank you.
Operator: Our next question is from Dan Kurnos with Benchmark Company. Please proceed.
Daniel Kurnos - The Benchmark Co. LLC: Thanks. Just, I think everybody is really focused on the expense guide, and really both for Q1 and for the full-year and obviously, Chris you talked about sort of the yeoman's work you've done on reverse. I think that's probably a big chunk of the equation but also maybe even some of the stuff you were talking about Steve on some of the initiatives, the revenue producing initiatives, it looks like Q1 is front-end weighted. So if you could just give us a sense, if that's sort of you are dumping a bunch of stuff in the Q1 over the balance of the year, just kind of pace of play of expenses as we go throughout the year and understand the dynamics with the higher margin political in the back half. But just how you're thinking about investing into those initiatives over this year and how much reverse is contributing versus the initiatives outside of the breakout. And then also on ATSC 3.0, in conjunction with that, you talked about launching or developing an SFN in Dallas. We know there's a Samsung facility not too far by. I assume that's probably part of the allure there. Can you just give us a sense of investment into exploring longer-term commercialization of ATSC 3.0, what you hope to glean from that test, and if you're going to partner with Samsung in order to see if they're interested in making an investment in developing those commercialization capabilities? Thanks.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: So, Dan, on the expense side, you're correct that the (29:49) of that majority of the expense uplift is coming from reverse, which is really, Chris already addressed this with we had a 28% of our subscribers on the network side, they came up at the end of 2017 and so you're seeing that flow through for the whole year. There are some expenses related to the initiatives you'll see for instance, the R&D line for the year is higher than it was last year. Now that we have ATSC 3.0 approved and we could start to move forward. So, really when you look outside of these – the reverse or the initiative our normal OpEx which was down in 2017 is growing just very low-single digits
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: And on the Dallas side, it really is a test of multiple different aspects of ATSC 3.0, it's a business test in terms of getting the transition done and coming in agreement with multiple broadcasters. That's also a heavy element of Phoenix by the way is very, very much focused on the business side of getting this transition done, which quite frankly is probably the most complicated part of the transition. And then Dallas builds on not just the business side, but also the technical side, it will include a fully functioning single frequency network with three additional towers added to Dallas to give the whole metro coverage, high-quality coverage for the entire population. So, it'll be a technical test from that perspective. And it will also include all the features that we've been talking about around ATSC 3.0 in terms of targeted advertising, having subscription-based channels programs more total channels that go through the pipe and mobility. And of course, innately is IP end-to-end. So, all of those are going to be tested in Dallas. Dallas was picked for a lot of different reasons, including it is large metro, easy-to-get to. Samsung being there was a factor. There is a desire to – for many developers and Samsung being one of those to have a sandbox sooner rather than later, a high-quality sandbox which is what Dallas would be, so that they can start testing different products around ATSC 3.0. And really the sky is the limit from our perspective in terms of what can be done. We were very excited about the core benefits to the TV product in terms of addressable ads and subscription based offerings and just more offerings. But beyond that, we think there are incredible opportunities around connected cars, skinny bundles and mobile video viewing. So, we're just at the beginning of unpacking some of those opportunities, but Dallas will be a great playground or sandbox for that to be proved out.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Yeah. And Dan I want to just come back on the expense side as well, on the as-reported there'll also be Bonten, which we did not have in the – really in the first three quarters of 2017 that are in our as-reported numbers for this year.
Daniel Kurnos - The Benchmark Co. LLC: Got it. Thanks for the color guys.
Operator: Our next question is from Alexia Quadrani from JPMorgan. Please proceed.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. Just two questions, if I may. And the first is, how are you thinking about the move with first night football to FOX impacting your stations and maybe a bit more color about CW adding another night on primetime and how that impact may look? And then just sort of second question is, on the political, thank you for all the color you gave on the political spend and the outlook. But could you remind us if you don't mind, what the political was the last mid-term election, last mid-term cycle and how much of that you think was incremental?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Yes, so Alexia I'll do the political piece. So pro forma for Bonten in 2014, political was $154 million. Now as Steve mentioned we had that big Arkansas governor's race and that will not return this year. So again when you back that out, adjusting for that in 2014 and our guidance is to be up low single-digit growth rate on political. And as far as the incremental, you have the age old question, nobody's ever really been able to define what is truly incremental just because the political paces in over many months and over different broadcast seasons and so that's why we give you all-in and all-out.
Steven M. Marks - Sinclair Broadcast Group, Inc.: On the football question with FOX, we're thrilled about that, especially that'll wind up on FOX. First of all, most of our exposure is on FOX affiliates and given the fact that FOX has been struggling in scripted primetime shows, putting in football should be a huge plus for the FOX network, and again for Sinclair in particular because of our exposure and likewise with the CW, we have a lot of CWs, we're about to have a lot more. And we're thrilled that they're expanding their program, programming is outstanding on the CW Network and we're excited that they're expanding to another day.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: And I'll just add to that, that on the football side, getting it away from CBS and NBC is also a positive not only from an exposure perspective for us, but also it reduces payments that we made to one of those networks related to Thursday night. So it's a win-win from our perspective in terms of what FOX is doing and I'm very excited about what I'm seeing at FOX in general in terms of their aggressiveness with the network post the Disney deal. And then on CW that extra night of programming is going to be scheduled for Sunday night. And really when you take a look at what we bill in that time period, it's pretty low. And so, it's pretty much nothing but upside, it'll depend how the shows will do, but it's going to be original content in line with the rest of their schedule. But it's hard to see any scenario where that does not provide additional upside.
Robert D. Weisbord - Sinclair Broadcast Group, Inc.: And I would add on the football that our sellers out on the street are already aggressively marketing the Thursday night and we've already sold several sponsorship packages, including Thursday and Sunday night football.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you very much.
Operator: Our next question is from Barton Crockett with B. Riley FBR. Please proceed.
Barton Crockett - B. Riley FBR, Inc.: Okay, great. Thanks for taking the questions. I wanted to probe a little bit more on the net retrans commentary. So I think on your November earnings call, I think you guys were talking about an expectation that net retrans would be up single digits in 2018 and up teens in 2019. Having done the renewals, do you still believe that or has the outlook changed?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Yeah. So right now the guide that we feel confident in is net retrans in 2018 to be up low-single-digits and for 2019 to be up low-teen percent. So now that we've gotten through those still within the guidance that we gave.
Barton Crockett - B. Riley FBR, Inc.: Okay. And is there much scope for – I know you're believing that you're close on the FOX deal, we'll have an announcement soon so you must have some visibility into that. Does that commentary encompass what you think is likely to come from FOX?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Absolutely.
Barton Crockett - B. Riley FBR, Inc.: Okay. All right. Now the other thing is, you guys have retained your free cash flow outlook. But we've just had a huge tax cut that came after you had initiated this guidance. So, I was just wondering if you could explain the puts and takes on how we get a big tax cut but we don't get really a bump to the free cash flow guide?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Yeah. So Barton on that the important thing really to focus on is the fact that we raised the low-end of the guidance. So, we took that from $975 million to $1 billion. The midpoint between the two guidances is slightly better. Now the one thing that's happened since we were – we had our guidance out last year as we finalized all of our budgets in December. So we have visibility now, a lot better visibility into 2018, which is why we were able to tighten that range for you. We also indicated that we would be probably more at the low end of that prior guidance. Couple other things to note is the free cash flow reflects $20 million of higher CapEx in the new guidance than what we previously anticipated. It also reflects the softer first quarter that Steve talked about from having really it's, I would call, more of a phenomenon. We went back and there is not a forever where NBC had both the Super Bowl and the Olympics in the same quarter. It just has never happened. And so, we have our guidance reflects that as well as a conservative view for the rest of the year.
Barton Crockett - B. Riley FBR, Inc.: Okay. All right. That's very helpful. Thank you.
Operator: Our next question is from Leo Kulp with RBC Capital Markets. Please proceed.
Leo Kulp - RBC Capital Markets LLC: Hi, good morning. I just have two quick ones. First in the past you've said that your retrans payout ratio is under 50%. Is that still the case for the foreseeable future? And then second...
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: so you're – in terms of your first question that is still the case and will be the case for the foreseeable future.
Leo Kulp - RBC Capital Markets LLC: Great, thanks Chris. And then second question is can you run through the remaining steps and their timing required for that the Tribune deal to close?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So, as you probably saw, we announced last week our divestiture trust that is really to get the clock ticking at the FCC, the DOJ has not concluded its process, but we feel it's close, close enough that we could move forward with this divesture trust plan. And in a situation where we can close as soon as divesture trust is approved and not have to wait to figure out where the buyers will be for the various stations. So we still don't have technical approval from either the DOJ or the FCC, but we feel we're getting close.
Leo Kulp - RBC Capital Markets LLC: Got it. And then you'll have a 30-day waiting period, is that correct for the FCC approval?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Yes, so the clock has started on that. And when we submitted for the divestiture trust that got the FCC timeline going and it will be 30 days minimum for commenting.
Leo Kulp - RBC Capital Markets LLC: Got it. Thank you.
Operator: Our next question is from Marci Ryvicker with Wells Fargo. Please proceed.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. I just wanted to stick on that topic for a second. There's been a lot of noise in the press that the conversations in D.C. have been difficult for you. Can you clarify the tone of the conversations with regards to the regulatory agencies?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Listen, I would say they are business as usual. Certainly, if anyone thought that the DOJ would play favorites with Sinclair, I can tell you that is unequivocally not true. They scrutinized this transaction very closely, more than any transaction we've done in our history. And – but not anything normal, anything more than normal, in terms of how they view the markets. They've done their work, they've been very diligent, and we're just awaiting the final answer of their process.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. And then to clarify the Q1 down mid-singles, does that include or exclude the Super Bowl and the Olympics? And I don't know if you gave numbers for those for the first quarter.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: So those – that includes, that's all in as-recorded. And the Super Bowl incremental was about $2.9 million and the Olympics was about $3.7 million.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then the last question is on the Tennis Channel, which we haven't really got an update on for a while. Can you talk about how that is trending and I think you put out a $60 million EBITDA number at some point, can you just talk about that a little bit? Thanks.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So the Tennis Channel has been doing well in terms of distribution, targets and revenue according to our original plan, which was two-year old plan now when we bought it. It has underperformed a bit on the ad side. We encountered a problem with Nielsen when we went to NTI ratings the sample size is so small that they're underscoring the audience by multiples, especially around special events when you compare it to ComScore. So we're working through that, we think that will improve over time, that's more of a timing thing. And on the rest of the strategy prongs, things are going great. We launched a new OTT app just last month, has been very well received. The multi-platform strategy with Tennis.com and Tennis magazine is moving forward with great effect and the international expansion strategy is also in the works. So, we're very bullish about multiple years of growth for Tennis. It was exactly what we wanted it to be, which was an additional growth driver to the core business. And in terms of hitting that $60 million run rate that will be hit next year and then exceeded the year after that.
Marci L. Ryvicker - Wells Fargo Securities LLC: Right. And let me allow one more for David. David, is there anything that you can point to with ATSC 3.0 and the Olympics that kind of highlights the benefits or anything we should be looking at and reading about post the Olympics?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Yeah. Let me answer that Marci. The Olympics in Korea were a great success. They highlighted one of the features of ATSC 3.0, which was the focus of the Koreans which was 4K HDR, very high-quality over-the-air signal. The operators there have not, do not have permission to do mobile, but they understand that is a core feature of this technology and are pushing to have that be a part – be a reality. In fact, even during the Olympics, it was tested in a small area, the mobility app that was tested for ATSC 3.0 successfully and I anticipate a big push in Korea for the broadcasters to be allowed to do mobility in the future. So from a technical perspective, it was a great success, but still early days on the business side for Korea and really the first iteration for them has just been focused on better resolution, better pictures, which we don't think is the ultimate best use of that knowledge. And I think they'll agree.
Marci L. Ryvicker - Wells Fargo Securities LLC: Great. Thank you.
Operator: Our last question will be from Kyle Evans with Stephens. Please proceed.
Kyle Evans - Stephens, Inc.: Hi, thanks. Steve you detailed digital growth of 64% in the quarter and 47% for the year. What were the drivers of that growth and how should we look at that going into 2018 and beyond?
Robert D. Weisbord - Sinclair Broadcast Group, Inc.: I'll handle it. This is Rob. It's a culmination of several years of intensive trading on selling and integrated 360 approach across the platform. And the results are due to the diversified portfolio of assets that we offer existing and new clients that will complete the cycle from stimulus to cash register ringing.
Kyle Evans - Stephens, Inc.: Those will be hard to put in my model. Maybe I can double back on that later. What did the MVPD sub count look like in the period and are you starting to collect revenue on the other side of the migration to OTT and virtual MVPD?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So, the counts were stable, some slight declines. And we really have not seen the impact yet from the virtual MVPDs. Most of our deals were done in the fall. We don't start counting subs until they start paying. And so, there's definitely a lag there in terms of those showing up in our accounts. So, we're going to start to see that benefit here in 2018, as we've done a significant amount of deals with the virtual MVPDs. We do expect more even through this year. But they really have not, for 2017, had any material impact yet.
Kyle Evans - Stephens, Inc.: Great. And lastly, I just want to report from Arkansas, we didn't see an auto dealership ad for about six weeks in 2014, so massive crowd out. Thanks.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Thank you.
Steven M. Marks - Sinclair Broadcast Group, Inc.: Thank you.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would like to turn the call back over to Lucy for closing remarks.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you, operator. Before you disconnect, let me just say that we view 2018 as a pivotal year for us with the upcoming acquisition of Tribune, deployment of ATSC 3.0, tax reform, local ownership deregulation, and a strong political year, all of which we expect to drive our long-term competitiveness and value. Thank you for participating on our earnings call this morning. And if anyone has additional questions, please feel free to contact us.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.